Operator: Greetings and welcome to the ProFrac Fourth Quarter and Year End 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Michael Messina, Director of Finance. Please go ahead.
Michael Messina: Thank you, operator. Good morning, everyone. Thank you for joining us for ProFrac Holding Corp.'s conference call and webcast to review our results for the fourth quarter and year ended December 31st, 2024. With me today are Matt Wilks, Executive Chairman; Ladd Wilks, Chief Executive Officer; and Austin Harbour, Chief Financial Officer. Following my remarks, management will provide high level commentary on the operational and financial highlights of the quarter and year before opening up the call to your questions. A replay of today's call will be available by webcast on the company's website, at pfholdingscorp.com. More information on how to access the replay is included in the company's earnings press release. Please note that the information reported on this call speaks only as of today, March 6th, 2025. And therefore you are advised that any time sensitive information may no longer be accurate at the time of any subsequent replay, listening or transcript reading. Also, comments on this call may contain forward-looking statements within the meaning of the United States Federal Securities laws, including management's expectations of future financial and business performance. These forward-looking statements reflect the current views of ProFrac's management and are not guarantees of future performance. Various risks, uncertainties and contingencies could cause actual results, performance or achievements to differ materially from those expressed in management's forward-looking statements. The listener or reader is encouraged to Read ProFrac's Form 10-K and other filings with the Securities and Exchange Commission, which can be found at sec.gov or on the company's Investor Relations website section under the SEC's filing tab to understand those risks, uncertainties and contingencies. The comments today also include certain non-GAAP financial measures as well as other adjusted figures to exclude the contribution of Flotek. Additional details and reconciliations to the most directly comparable, consolidated and GAAP financial measures are included in the quarterly earnings press release, which can be found on the company's website. And now I would like to turn the call over to ProFrac's Executive Chairman, Mr. Matt Wilks.
Matt Wilks: Thanks, Michael, and good morning, everyone. I'll start with some brief remarks. Ladd will elaborate on the performance of our subsidiaries and then Austin will walk through our financial performance. ProFrac's leadership across the completion value chain consistently positions us to achieve strong financial and operational performance. We continue to execute our differentiated commercial strategy by partnering with operators who prioritize integrated, highly efficient solutions at scale. As the market evolves and operators consolidate, our ability to provide comprehensive solutions at the pad enables us to capitalize on new opportunities in the most active US basins. In Stimulation services, our emphasis on improving service quality, coupled with our internal R&D, manufacturing and maintenance capabilities has allowed us to efficiently maintain and upgrade our pressure pumping fleet and drive commercial innovation. In essence, every fleet we deploy must consistently meet our rigorous quality and reliability standards. Excellence in operations is also underpinned by having an efficient maintenance program. To this end, our asset management platform, which prioritizes quality control and centralized maintenance is making a big difference in the quality and economics of our pumping operations. Ladd will speak more to this, but at a high level, our integrated asset management program is designed to deliver field ready equipment that is engineered for safety and reliability, purpose built to meet every job requirement, and standardized in both appearance and operation to ensure that our equipment meets the highest industry standards. On our last call, I discussed record efficiencies in our Stimulation business, highlighting the best-in-class execution we see from our employees in the field every day. As Ladd will discuss, we have already seen a sizable improvement in activity in our Stimulation business since the end of 2024 and I am confident that we will be able to surpass our Q3 2024 efficiency per fleet record in the coming months. Already in January, we achieved new record efficiencies for a single month, despite adding a number of incremental fleets in operation and despite challenging weather conditions in certain regions. In recent earnings calls, we briefly discussed the growing and rapidly evolving opportunity in the power generation market. Through acquisitions and our own organic growth, we possess extensive experience in running electric frac operations and managing power in the field. Having an in-house power gen business is yet another local logical extension of the holistic integrated platform we offer. Today, we are excited to introduce this new business venture, Livewire Power. Livewire began operations in the fourth quarter and marks a significant step forward in our power generation strategy, focusing on the growing demand for power in remote locations, driven by advances in electric frac technology. E-frac technology requires temporary yet substantial power generation, a need not adequately met by existing electrical infrastructure. Distributed power generation will be a key component of our strategy going forward, offering a reliable and scalable solution for oilfield services' companies and other industrial users. I'll let Ladd elaborate on Livewire shortly. Looking to the future, we continue to invest in our next generation pumps and novel software platforms to stay ahead of the curve. Our commitment to innovation ensures we remain at the forefront of the industry, delivering superior performance and value to our customers. In the fourth quarter, ProFrac delivered revenue of $455 million and adjusted EBITDA of $71 million. As others in the industry have noted, the North American completions industry faced typical fourth quarter challenges, including budget constraints, holiday shutdowns, and adverse weather conditions. For the full year 2024, we achieved revenue of $2.19 billion and adjusted EBITDA of $501 million against the backdrop of competitive pressures from softening activity in the North American oilfield services market. Keeping with the theme of driving efficiencies in Proppant Production, we have made strategic improvements both operationally and commercially that we expect to drive significant gains. This business has a very high degree of operating leverage and we anticipate increased volumes and profitability in 2025. Beyond driving gains through our own initiatives, we have reason to be cautiously optimistic that the market may provide favorable tailwinds. By now, you have likely heard of the potential for increased activity in the Haynesville, the largest LNG basin in the US, driven by improved gas prices and the region's close proximity to LNG export terminals in the Gulf of America. As a reminder, we have the largest Proppant footprint serving the Haynesville with 10 million tons per annum of capacity across four mines. Our scale uniquely positions Alpine to take advantage of an inflection in natural gas completions activity, but importantly, I want to note that improved results at Alpine is not predicated on a ramp in Haynesville activity. As we maneuver the competitive South and West Texas markets, we expect to improve the results in those regions as well, driven by our initiatives to further optimize operations and potentially some modest improvements to pricing as we progress through the year. We remain committed to a disciplined approach to managing our asset portfolio and capital allocation, prioritizing returns and enhancing our free cash flow, maximizing liquidity and effectively managing debt service and working capital. Of note, we generated $54 million of free cash flow in Q4 and $185 million in total in 2024. Before turning the call to Ladd, I'd like to wrap up with the following summary remarks. In Q4, ProFrac delivered $455 million in revenue and $71 million in adjusted EBITDA, despite pronounced fourth quarter budget exhaustion, holiday shutdowns and adverse weather. For the full year 2024, we achieved $2.19 billion in revenue and $501 million in adjusted EBITDA, demonstrating our resilient model and successful navigation of competitive pressures in the North American oilfield services market. Our leadership in the completions value chain has positioned us to consistently drive strong financial and operational performance. We continue to partner with operators who prioritize integrated, highly-efficient solutions. Our focus on service quality, internal R&D and efficient maintenance through our asset management platform continues to enhance our pressure pumping operations. We are building upon our leadership in electric frac operations with our new power management venture Livewire Power, marking a significant step forward. We will continue to invest in next generation technologies that help us maintain our leadership position. In Proppant Production, strategic initiatives are expected to drive improvement in 2025 and our footprint in the Haynesville offers differentiated exposure to increased natural gas completion activity in the largest gas producing region proximal to LNG export facilities along the Gulf Coast. And finally we have strategically positioned ProFrac to create long-term value for our stakeholders by providing the most efficient solutions through vertically integrated in-basin scaled offerings, exceptional service, and an unwavering focus on generating free cash flow through the cycle. This success is already evident and will continue as we move through 2025 and beyond. With that, I'll turn it over to Ladd.
Ladd Wilks: Thank you, Matt, and good morning, everyone. I'll provide more color on several themes Matt touched on as I elaborate on the segments, starting with the performance in our Pressure Pumping business. The fourth quarter saw an even more pronounced impact than we expected, which drove a sharper than anticipated drop in our active fleet count. Additionally, pricing softened in part due to lower activity. However, thanks to our cost control and collaboration with customers, we were able to right-size quickly without hampering our ability to redeploy assets. Looking at the Pressure Pumping market today, we have seen improvement in our active fleet count in the first few months of the year. In fact, we have the highest number of active fleets working today since midyear 2024, having already put six fleets back into active service since late 2024 into early 2025. Further, we are effectively sold out of our e-fleet and next generation gas burning equipment. Combined, 80% of our active fleets utilize next generation equipment. The pickup in frac fleets has been more pronounced in West Texas and South Texas operating regions. Perhaps more importantly for you all to know is that we have increased our base of active operating assets from their respective troughs in the fourth quarter in all our ongoing active regions. Looking forward, we believe the frac market will support marginal growth from current levels as we progress through the year. Given our excellence and execution both in our asset management program and the field, we anticipate that we will continue to deliver our new efficiency records in 2025. I would like to genuinely thank our hard working employees for their determination, perseverance and strong performance, despite what has been a challenging run in the market. We are proactively engaging with customers, so that we are aligned concerning the total economics of bringing a well to completion in the pursuit of continued efficiencies. We often reevaluate our commercial strategy and approach with customers to fine-tune relationships. We have found that while we have a high quality sales force, we need to high grade the conversations we have with customers to ensure a sustainable as well as profitable relationship. I believe we are on a new and improved footing with some historically core customers that we have not partnered with in some time. Pricing gradually declined through '24 and has stabilized with potential increases in our cost, including from tariffs and labor inflation. We anticipate the pricing dynamic will be revisited as we move through the year. Putting this all together, we expect our Stimulation services segment to see marginally higher activity year-on-year in 2025, but for lower average pricings to offset much of this benefit. I'd now like to zero in on our asset management platform, which Matt touched on. Cost control, equipment quality and standardization are core to the asset management program. We have fleets across most major basins and at no time are the maintenance needs exactly the same in two places. If left unchecked, this can result in tremendous inefficiencies in spare parts inventory. By moving to a centralized maintenance platform, we are able to optimize our maintenance processes. As a result, we can minimize costs, shorten lead times, and streamline the overall equipment management apparatus, while reducing non-productive time and improving efficiencies in the field. We are still in the relatively early days of this program, but have already witnessed the benefits of deploying a meaningful number of fleets in a compressed timeline, while improving on pump hours per fleet. Additionally, asset quality driving field performance has resulted in improved customer relationships. I'd also like to spend a few minutes on our new power gen business Livewire. The power generation market, especially for the oil and gas sector and other high power consuming industries, faces challenges due to heavy capital requirements, long lead times, and project based demand. To address these challenges, Livewire, built on a legacy of deep knowledge and experience from across the organization, operates a fleet of state-of-the-art power generation assets, continues to evolve in the gas conditioning space and innovates with customers to provide integrated solutions. The strategic alignment with ProFrac will provide a strong foundation for Livewire's operations and future growth. While Livewire is focused on servicing ProFrac, we do plan to expand Livewire's operations into adjacent markets with high growth potential. We look forward to providing updates on future market opportunities. Now to our profit segment. As with Stimulation services, results were similarly impacted by seasonality. However in the first quarter, we have already recovered meaningfully, although mine improvements and ramp up costs will weigh on Q1 results. On pricing, we did experience some softness in the fourth quarter. This is carried over into Q1, but we do expect to see improvement in pricing as the year unfolds. As Matt conveyed, we have taken significant strides to improve our commercial efforts and operational efficiencies in our Proppant business, which includes conducting a strategic review of leadership across the segment both at the mines and at the executive level and implementing identified changes necessary to drive segment results in 2025. Our sand sales strategy is focused on optimizing mine utilization by way of a portfolio management approach to manage volume fluctuations effectively. We are working to improve utilization rates by concentrating production in key mines, expanding throughput, and complementing existing with new customer commitments. We have temporarily increased spending in Q1 to grow volumes that we expect to drive increased margins in 2025 versus '24. To wrap up, our deepest thanks goes out to our remarkable team for their hard work, dedication and commitment to safety. Their execution of our differentiated strategy is what makes ProFrac successful day in and day out. I'll now hand the call over to Austin to cover our financial results in more detail.
Austin Harbour: Thanks, Ladd. In the fourth quarter revenues were $455 million, as compared with $575 million in the third quarter. We generated $71 million of adjusted EBITDA with an adjusted EBITDA margin of 16%, compared with $135 million in the third quarter or 23% of revenue. Topline and margins were impacted by sharp year-end drop off in activity and continued pricing pressure during the period as referenced earlier. Of note, EBITDA in the fourth quarter included reactivation costs of approximately $4 million in repair and maintenance, and approximately $2 million in labor costs associated with excess crews in anticipation of expected fleet redeployments in the fourth quarter. For full year 2024, revenues were $2.2 billion with adjusted EBITDA of $501 million, and an adjusted EBITDA margin of 23%. Free cash flow was $54 million in the fourth quarter, an increase from $31 million in Q3 due to a step up in asset sales as we generated $41 million primarily from a sale leaseback transaction. For the full year, free cash flow was $185 million. Turning to our segments, Stimulation services revenues were $384 million in the fourth quarter versus $507 million in the third quarter on both the decline in average active fleet count and pricing. Adjusted EBITDA in Q4 was $54 million versus $113 million in Q3 with margins coming in at 14% versus 22% in the prior quarter. This segment was impacted by approximately $9 million in shortfall expense related to our supply agreement with Flotek compared to $7 million in the prior quarter. Of note, as we initiated and implemented our asset management program, we allocated capital to maintain, standardize and activate fleets. As mentioned earlier, we have seen a significant improvement in our Stimulation services business since the Q4 trough, adding six fleets. For full year 2024, Simulation services revenues were $1.9 billion with adjusted EBITDA of $399 million and an adjusted EBITDA margin of 21%. The Proppant Production segment generated $47 million of revenue in the fourth quarter compared with $53 million of revenue in the third quarter. The decline in revenue was primarily attributable to lower pricing and slightly lower sales volumes in the quarter. As Matt and Ladd mentioned, we experienced pressure in the West Texas market, which remains very competitive. However, we believe pricing has stabilized around current levels and with demand having increased. There may be room for pricing to improve not only in West Texas, but also with an increase in activity in the Haynesville. Approximately 73% of volumes were sold to third-party customers during the fourth quarter versus 72% in Q3. Adjusted EBITDA for the Proppant Production segment was $14 million for the fourth quarter versus $17 million in Q3. On a margin basis, EBITDA margins came in at 31% in the fourth quarter versus 33% in Q3, largely due to lower cost absorption and a decline in average realized price per ton. For full year 2024, Proppant Production revenues were $247 million with adjusted EBITDA of $86 million and an adjusted EBITDA margin of 35%. As discussed earlier, we're seeing improved commercial opportunities and expect a notable improvement in operational efficiencies in this segment, which we anticipate will drive a sizable recovery in volumes in 2025. We believe pricing is stabilized and with increased demand there will be opportunities for pricing improvement. However, our focus is on total returns through the cycle. Therefore, our preference will be to de-risk our long-term cash flows and enhance our existing and future customer relationships. Our Manufacturing segment generated fourth quarter revenues of $62 million, flat sequentially. Approximately 77% of segment revenues were generated via intercompany sales. Flat sales in the fourth quarter reflected approximately flat capital expenditures in the Stimulation services segment. Adjusted EBITDA for the Manufacturing segment stepped up from near break-even in the third quarter to $3 million in Q4, reflecting an increase in power generation services provided to ProFrac, which were originally operated by EKU, while we stood up LiveWire. LiveWire, however, consolidates to our other business activities segment. Due to this transition, I expect the contributions of power generation to be split approximately evenly between manufacturing and other business activities when we report the first quarter with power generation being fully captured within other business activities in the second quarter and beyond. For full year 2024, Manufacturing segment revenues were $223 million with adjusted EBITDA of $8 million and an adjusted EBITDA margin of 3%. Selling, General and Administrative expenses improved to $48 million in the fourth quarter from $52 million in the third quarter as we remain focused on cost control. Cash capital expenditures decreased to $63 million in the fourth quarter from $70 million in the third quarter as we quickly right-sized our CapEx profile for the lower activity levels, while continuing to invest in our fleet via asset management and fleet readiness efforts in anticipation of ramping up quickly in late Q4 into early Q1. For the full year 2024, CapEx totaled $255 million, in line with the lower bound of our previously guided range, which is also down from $267 million in 2023. We continue to maintain our focus on capital discipline, while positioning our segments to capitalize on upside potential as markets improve. To that end, we expect to incur total capital expenditures during 2025, that are in line with to modestly higher than 2024 levels are between $250 million and $300 million. Total cash and cash equivalents as of December 31st, 2024 were approximately $15 million, including approximately $4 million attributable to Flotek. Total liquidity at year-end was approximately $81 million, including $71 million available under the ABL. Borrowings under the ABL credit facility ended the quarter at $140 million, down approximately $23 million from the prior quarter. At year-end we had approximately $1.1 billion of debt outstanding with the majority not due until 2029. We repaid approximately $157 million of long-term debt in 2024 and intend to continue to use free cash flow in future periods to deleverage. We're committed to advancing our strategic goals, working closely with clients to offer cutting edge integrated solutions, boosting efficiency throughout the company and maximizing our free cash flow. That concludes our prepared remarks. Operator, please open the line for questions.
Operator: Thank you. We'll now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Saurabh Pant with Bank of America. Please proceed with your question.
Saurabh Pant: Hi. Good morning, Matt, Ladd and Austin.
Matt Wilks: Good morning.
Austin Harbour: Good morning.
Ladd Wilks: Good morning.
Saurabh Pant: Matt, Ladd, maybe I'll start with a big picture question on activity improvement. I'm thinking Stimulation, but really it sounds like even on the Proppant side you are seeing good improvement early on in the year. You did give a little color in your prepared remarks, but maybe elaborate a little bit on what exactly is driving that? I think some of it is timing, right, because the fleets that were laid down early on in the fourth quarter are coming back. So six fleets, I guess, part of it is that, but what exactly is driving that? And as we think through the rest of the year, I know operating leverage is pretty significant in this business, but pricing might be a little bit of a headwind 4Q to 1Q. How should we think about profitability moving through 2025, any preliminary color?
Matt Wilks: Yes. I think from an activity standpoint, in Q4, due to seasonality and budget exhaustion, it slowed down. But the year started off really well. Operators getting right back to work and picking up fleets and as well as adding volumes on sand. So it's been a nice start to the year. Pretty excited about that. When we look at the availability on the supply side, whether that's on horsepower or on sand, the demand has picked up quite a bit. And it's put us in a situation where essentially we have a choice between pushing pricing or focusing on de-risking those cash flows and the overall profitability over time. And the number one priority for that is to make sure that we preserve our long-term relationships with customers and deliver something that's stable through the cycle and delivers us the respectable return. So rather than being too aggressive on pricing, we're looking at the long-term benefits of the sustainable pricing and great customer relationships. So our focus is on getting longer term commitments, so that we can deliver longer term financial results for our stakeholders.
Saurabh Pant: Okay. Perfect. I got it. And then the next one, I'm mixing two topics but for a reason. On Livewire and then on CapEx guidance for 2025, $250 million to $300 million. Maybe just give us a little color on how quickly do you think the Livewire business ramps up? How much capital? How quickly are you will to put into that business and then just the pieces within that $250 million to $300 million, how much of that is going towards upgrades? Any more e-fleets? Anything else right? Just a little more color on where that, where those dollars are going?
Matt Wilks: Yes, certainly. So when we look at the power business, we've got embedded demand internally. That is our first priority and our focus. But we're also evaluating other market opportunities, whether that's in oil and gas or AI or wherever that may be. We're pretty excited about it, see a lot of opportunities, but we're being selective and patient with how we approach that. We look forward to updating everyone soon. As far as the capital outlay, I'll defer to Austin.
Austin Harbour: Yes. Appreciate the question. So I think just to start right on the growth CapEx side, we're not going to invest capital unless we can see real returns coming back from those investments, particularly on the growth side and on the upgrade side. So I would lead with that. I think to the specific breakdown, right now, the majority of our spend is going to come on the Stim services side. And then in addition to that, we've got a number of ongoing projects and the Proppant Production segment, again all with paybacks that meet our economic return and threshold profile. With respect to Livewire, I'll echo Matt's comments and sentiment there. I think, right, as we have more detail and more appropriate detail to share, we'll do that at that time.
Saurabh Pant: Okay. Perfect. Austin, one very quick follow-up for you, unrelated. The $41 million in asset sales, can you give us any color at all on what that was?
Austin Harbour: Yes. It was a sale leaseback on some of our Stim services' assets.
Saurabh Pant: Okay. I got it. Okay. Perfect. Thank you, Matt, Ladd, Austin. I'll turn it back.
Austin Harbour: Appreciate it. Thanks for dialing-in.
Operator: Thank you. Our next question is from Stephen Gengaro with Stifel. Please proceed with your question.
Stephen Gengaro: Thanks. Good morning, everybody.
Matt Wilks: Good morning.
Stephen Gengaro: Can you give us your perspective on just as we sort of think about '25 as it evolves on just kind of frac supply demand and what your sense is for attrition of older assets and just kind of thinking about maybe what we look like as we get closer to the end of the year?
Matt Wilks: Certainly. Great question. When we look at the overall fleet for the industry and especially when you couple it with high utilization rates and efficiencies that we're seeing across the market, it's given an accelerated attrition profile to where you use equipment quicker, and it increases your maintenance CapEx and R&M cycles. You're really putting this equipment through a lot. And because of that you've seen an accelerated cycle where there's less equipment available and it's really chewed through this equipment to where a lot of the legacy equipment is just not up to par with where the industry has come. That's why we're so excited about our platform and how well we manage our assets as well as the increased benefits that we're already seeing from the asset management program that we've put in place. So when you look at supply and demand, we think it's pretty tight out there, and when the industry's fleet count is dropping, it's easier to manage assets and allocate the appropriate assets to the right areas and to put up phenomenal efficiencies and utilization rates for your customer. But it chews through a lot of equipment and it's unseen by the market until it stabilizes and starts building the other way. I think that this is going to be a common theme all throughout 2025 across the industry of realizing just how short the market is of horsepower. I think in this part of the cycle it presents a lot of opportunities to get very substantial price improvements. However, we're taking the long game here and looking at what our long-term relationships with customers should be and how we should structure that relationship making sure that we have partnerships over short-term financial game.
Austin Harbour: I would just add to that too, if we continue to see some green shoots, particularly in the natural gas heavy markets, this is, I think, going to become even more acute as we move throughout the year and into next year. Kind of the two-pronged approach of increased attrition coupled with potential increases in demand on the gas side in addition to kind of flattish activity on the oil side. I think, we're going to see it. We could see a meaningful tightening if that unfolds.
Matt Wilks: And the most exciting outcome is that really this pushes and accelerates the industry's move into higher spec, higher value platforms that is certainly a benefit to us, because of our fleet configuration.
Stephen Gengaro: No. That makes sense. Thank you. And the other question, could you give us a sense or range for where pricing is today on a kind of a contracted and maybe contracted and spot basis versus where it was 12 months ago? I'm just trying to get a sort of just a sense for magnitude of change?
Matt Wilks: Yes. I know you'd love to have that answer. We're going to pass on that one. I'll tell you. We like the frame up that we have. We like where supply and demand is at and where it's taking us. And our main focus is, we don't want to be greedy here and complicate our relationships with our customers. But there's certainly greater opportunities to push pricing, many of those. That's not something that we're as interested in getting in the short-term. We want to look at preserving our relationships with our customers and finding that right balance for full cycle returns.
Stephen Gengaro: Okay. Great.
Austin Harbour: And I would just add again, I can't overemphasize this enough. Where we are spending on growth CapEx and stim services, it's because we are meeting our economic return thresholds, right. So I just want to put a point in that.
Stephen Gengaro: Makes sense.
Matt Wilks: Yes. So much of this business is about utilization and operating leverage and so there's a good balance by working with the right customers and finding the right relationships, so that you create mutual value and benefit.
Stephen Gengaro: Got you. That makes sense. And then one final, since you didn't quite answer the other one. But no, seriously, the other one was, do you see, and I'm not sure how to exactly ask this, but when we think about the electrification of some of the frac fleets and we see power being pulled into other end markets, right, like data centers, et cetera. Is there any concern that the cost of electricity or the cost of reception or whatever it might be will rise because you're getting that power maybe pulled away from the oil patch by a customer who's maybe willing to pay more for it?
Ladd Wilks: That's a -- those are some high class problems. The way that we look at it is that with our vertical integration and our in-house packaging of these platforms, we want to focus on and develop our growth trajectory around supporting our fleets, but it also -- we're allocators and we're going to allocate for the best returns. But again this is about preserving long-term relationships and so we'll meet all of our commitments to our customers. And as we look at the landscape, I think that there's terrific demand in other segments, in other areas. And we're closely evaluating this specifically for what is the best allocation of resources and how do we sustain both businesses without leaving any of our valued customers stranded in any form or fashion. And so there's careful consideration there, and we're allocators looking for the best returns and ultimately the best returns are from sustainable full cycle returns, and looking at the return on assets through the life of the asset. And so we're evaluating this very, very closely. But we see our in-house demand as a proving ground and an excellent launching pad for some of these opportunities that we see in the market.
Stephen Gengaro: Great. That's great color. Thank you gentlemen.
Ladd Wilks: Thank you.
Operator: Thank you. Our next question is from Dan Kutz with Morgan Stanley. Please proceed with your question.
Daniel Kutz: Hey, thanks. Good morning.
Matt Wilks: Good morning.
Ladd Wilks: Good morning, Dan.
Daniel Kutz: So I just wanted to kind of roll up a couple of data points that you guys gave on your active frac fleet count. So I think that you'd said that you've reactivated six fleets and that activity is up more than 25% from the 4Q lows. So that would kind of imply maybe you're running mid-20s, maybe low mid-20s fleets before and then now you're around 30 fleets. Am I thinking about that the right way? And is 30 a decent number to think about through 2025 in terms of an active fleet count? Thanks.
Matt Wilks: Yes. I think the low-30s is a safe place to look at throughout the year. I think and certainly for -- that's about where we are now. What we're looking at is, does it, we're not going to sacrifice financial results for growth. This is about being active and maintaining a healthy footprint in a great market and establishing the right relationships. Now if for whatever reason there's a call from the market for the demand is there, for more supply, our number one priority is that we won't ramp up activity unless we see the economic returns that support it. And so we're patiently watching it, excited about what we're seeing in gas and think that there's -- as we go into the latter part of this year and into next year, that there may be a need there. But our position is that we remain patient and become great allocators of capital.
Daniel Kutz: Great. That's all and really helpful. Then maybe on the Proppant business, you guys have kind of given us a bunch of color on some of the factors driving the improvement that you see for that business this quarter and this year. But a couple other components that I wanted to ask about are market share gains contemplated in the improvement and in terms of just you guys, you'd flag that, you're looking to optimize the utilization at a given mine at a given time. Is there any -- are there any mines that were outright shut down to manage the cost structure, or is it just more a matter of kind of managing the volumes and utilization across the different mines? And then just the last piece is how much -- what's kind of the outlook that's contemplated for your internal versus external Proppant sales, if you don't mind? Thanks.
Matt Wilks: Yes. In 2024, we communicated that we had idled an asset in the Haynesville market. That asset is still idle. But as we move through 2025 and with the potential of increased activities there, there may be a call on that asset to bring it back. But where we sit now, we have seven assets that you know that are operational and with many of them seeing the best utilization and production rates that they've -- that they've ever had. So we're pretty excited about where these things are at. We've got a robust order book and what we're -- as we move through the year, our goal is to focus on long-term commitments, and rather than taking the first opportunity to push price, which right now we're seeing those types of opportunities. But our focus is let's derisk these cash flows and turn them into longer term commitments instead of just a nice feel good at the beginning of the year.
Daniel Kutz: Got it. It's all really helpful. Thanks a lot. I'll turn it back.
Matt Wilks: Thank you.
Ladd Wilks: Thanks, Dan.
Operator: Thank you. This concludes today's question-and-answer session. I'd like to hand the call back over to Matt Wilks for any closing comments.
Matt Wilks: Thank you everyone. We appreciate your time today. We are confident that our integrated solutions and strategic partnerships will continue to drive our success in the most active US basins. Our focus on innovation, including next generation equipment and the launch of Livewire Power positions us to capitalize on emerging opportunities. We look forward to connecting with everybody on our first quarter 2025 results call. Thank you.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.